Operator: Ladies and gentlemen, welcome to the Interim Report Q3 Nine Months 2024 Conference Call and Live Webcast. I'm Moritz [ph], the Chorus Call operator. I would like to remind you that all participants will be in a listen-only mode and the conference is being recorded. The presentation will be followed by a question-and-answer session. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Christoph Nanke. Please go ahead.
Christoph Nanke: Thank you, Moritz and welcome also from my side. Thanks to everybody who has dialed in at this special day. I have with me in the room, our CEO, Stefan Schulte and our CFO, Matthias Zieschang. They will start the presentation right now.
Stefan Schulte: And we do it. Good afternoon. Ladies and gentlemen, also from my side, let's go straight into my presentation. On my first slide, you see the financial performance of the past quarter. €1.35 billion revenue grew by more than 10%. Matthias will talk about this later in detail, but I'm pleased to see that the international portfolio and our Frankfurt operations contributed more or less same amount to revenue growth. So 50% from our international operations and 50% from Frankfurt, in absolute terms about €60 million higher revenues from each side. Group EBITDA was broadly flat compared to the previous year, but that's due to special effects. In 2023, we recorded close to €20 million higher results from compensations and this year, the temporary closure of Porto Alegre Airport imposed a headwind of more than €10 million. Adjusted for these effects, the underlying EBITDA would have provided a solid single-digit percentage increase this year of more than 8%. Bottom line, an improved result from Antalya was compensated by higher interest cost and D&A and €273 million, group result was flat compared to the previous year, which again was positively impacted by compensation. Net debt to last 12 months EBITDA improved slightly to 6.2x, thanks to the overall EBITDA improvement. Where do we stand on a year-to-date base? I'm on Slide 4. In the first nine months of 2024, we recorded some €330 million higher revenues on an adjusted basis. The revenue increase was again roughly balanced in between Frankfurt and the international operations. On the EBITDA level, €1.05 billion presented an increase of about 10% and was in line with our expectations to meet the midpoint of our full-year expectations. Some 47% of the EBITDA was derived from our international operations and here in particular from Fraport Greece and Lima Airport were slightly more than 50% came from our Frankfurt operations. On the EBIT level, the mix was even more balanced with 49% from overseas and 51% from Frankfurt. Bottom line, the financial result improved mainly thanks to Fraport Antalya and a good financial asset management from Matthias and his team. Correspondently, group result increased by more than 20% and reached €434 million. The backbone of our financial performance is our passenger development. On Slide #5, you can see and you can find the Frankfurt performance in the first nine months. While the passenger recovery compared to 2019 stands at about 86% to 87% on a year-to-date basis, which is weak compared to other European hubs, the growth rates are coming down over the course of the year. All of the reasons, yes, we had at the start of the year, some strikes carried out, which amounted to more than 500,000 passengers or 1% of our Frankfurt full-year traffic. And you have also some geopolitical impacts, you see this here on the slide, which in the month of September, for example, on standalone base, come from more than one-third of our passengers to and from the Middle East, which were lost due to the conflict in the Middle East. But at the end, there are a lot of small reasons behind, but the most important one is the lack of aircraft from our main customer. On the one side, roughly 3%, the Lufthansa fleet was grounded due to the Pratt & Whitney engine issue. But on the other side, and that's even more important, new modern long haul aircraft has more seats abroad, so the Boeing aircraft failed to be delivered. You know this from the Lufthansa call, roughly 40 aircraft, they are missing already, which would have been delivered. And you know that the fleet of Lufthansa and Frankfurt is quite old with an average age of 70 years on the Intercon flight and they really need those additions and the new more efficient aircraft and that gives them for sure some disadvantages. The more and the bigger problem is that the traffic momentum also faded due to the increase in the German aviation tax from May onwards. In May, the German state increased the tax on short haul flights by another €3 and by €14 on the long haul flights compared to pre-COVID, the tax on the short haul flights therefore has in the meantime more than doubled while the long haul flights, the tax increased by more than 70%. So that means on the Intercon flight, it's more than €70. And if you compare flights on a 787 for example, from Frankfurt to New York, an airline has to pay just to the federal taxes and then security charges and for air navigation, roughly €18,000 just on state regulated fares compared to Paris. If the same flight is going to New York, it's just €6,000. And there you see what's really the problem is and the challenges and why the full aviation industry is making a lot of pressure on the German government to change this route and to abolish the German Aviation tax and we have some discussions over there. So at least they are listening to us these days. Not saying it's already happening anything, but it's absolutely clear that this way cannot go ahead and they have to change. A positive signal on that coin is that Lufthansa recognizes their challenge and decided to put six A350 now to Frankfurt, which is of course much more efficient than if you drive and if you operate four engine aircraft any longer, that's positive. So it's going to the right direction. Another positive signal came out today, which is also strengthening Frankfurt Airport with the decision of Condor to take up several new destinations in Europe from Frankfurt, even if the aircraft because of the taxes are based abroad, but they're always flying to Frankfurt domestic flights, but also European flights. So that goes right away, but nevertheless, 2025 would not be an easy year for us. It's looking much better if you go on the international traffic development. I'm on the next slide, Slide 6. The group airport excluding for Frankfurt and in the meantime, fully recovered in total at least compared to 2019, despite the temporary closure of Porto Alegre Airport. The key driver for the passenger performance on a group wide basis is our investment in Fraport Greece. A 120% or 118% respectively, Fraport has clearly outperformed 2019 with adding another 6% compared to the already high previous year level. Most of the airports in Greece will now undergo some one way refurbishments over the winter season to be prepared for the upcoming summer season, but these one way refurbishments are covered by the EU Brazilian [ph] facility and therefore won't impact our net cash flow. Following the political unrest at the beginning of 2023, Lima Airport is now catching up on the lost traffic performance this year at 103% Lima passenger numbers had in the meantime outperformed the 2019 benchmark year and we expect this to continue for the remainder of the year. Fraport Brazil on the other side is recording a split development, while Fortaleza Airport recorded year-on-year, year-over-the year growth in the third quarter, Fortaleza was heavily impacted by the temporary closure of the main airport. Excluding Porto Alegre, Fortaleza Airport reached a recovery of about 80% compared to pre-COVID, roughly the same level, so 80% is the case for Ljubljana Airport. You know that the national flag carrier went insolvent over there, but we see already really good growth rates on Ljubljana Airport with also good fares and that's going absolutely the right direction. Twin Star is negatively impacted by with air fleet reductions. That's also the Pratt & Whitney issue and they had to base a lot of aircrafts, but we have been successful to sign new contracts there with low cost or a type of low cost airline to give us further connectivity and further connections on 2025 onwards. So, I'm still optimistic on the Bulgarian airports for the next years onwards. So, international business is really performing quite well, challenges we have in Frankfurt as I mentioned. Shifting gears and coming to our business update on Slide 7, you see the status of our Terminal 3 project in Frankfurt. Following the approval of Pier G, two years ago, the construction authorities just approved last week, Pier H from a fire protection and technical readiness perspective. So we got all the necessary approvals to start operations if we would like, but we first have to finish of course the main building. But that will be positive that was all the fire protection measurements in Germany and so on and all the tests, everything went quite well and that's really positive. The upcoming milestones you can find on this slide, the test runs of the people mover system to connect Terminal 1, 2 and 3 have already started. We expect the test once to finish through Q2 next year. In Q2 next year, we also expect Pier job to be approved by the construction authorities. So, we start already there now with all the fire protection tests and so on. And all the experts on the public authorities are running around there on a daily basis. In Q3, finally, then the main hall building is expected to be approved and at the same time, it will start to prepare for a smooth opening after Easter in the summer season 2026. From a commercial point of view, most negotiations for the food and beverage and the launches are finished and we are in the signing process of the contracts. Further contracts such as duty free contracts, car rental contracts and some other stores are already in place. Progress we are also seeing regarding the cargo development at Frankfurt site, already in Q2, we launched the so called Masterplan CargoHub, which consists on three main initiatives, digitalization and innovation, space optimization and area development. So the cargo master plan will help us to handle the expected cargo growth in the future and enables us to keep our leading position in the cargo handling in Europe. In light of the expected cargo growth, we will among others, create new logistic hub on the former Ticona side in the west of the airport, so west of the new runway and to connect this later on also. From 2028 onwards, forwarding facilities was up to 150,000 square meters of haul space will be available on around 250,000 square meters of land. And as mentioned, the long-term, the logistic hub will also have the possibility to connect the air traffic to the new runway not just with the road, but also then later on with the rail traffic. Beyond our space optimization and aero development initiatives, we are pleased by the decision of Lufthansa to invest a further €600 million in so called Lufthansa Cargo Center Evolution of LCCevo. The project will strengthen the Lufthansa Cargo and Passenger Operations further and it's a clear commitment to the Frankfurt site in the long run. Moving to the latest developments overseas both airport operators, Lima and Antalya are currently preparing for the operational takeover of the new airport infrastructure. While Lima Airport is on the final stretch to commissions a new 270,000 square meters Midfield terminal. Antalya is working on the opening of the terminal extension for the international traffic. As you will have seen from the press and social media communication last week. We expect now Lima Airport to open the terminal end of January, so one month later because of the necessary street connections, but the municipalities and they are a little bit late, but it's just one month. While Antalya Airport expect the opening of the new terminal at the end of first quarter next year. Given the size of the Lima investment, including for the new runway operation, we decided to provide you a market update or deep dive on the investment after the opening. We will be invited for that then. As far as the entire year, the deep dive on the new concession was already two years ago, but a lot of information remains available for you. Both investments in general are remarkable in size and speed, while we are adding close to 30 million passenger capacity in Antalya, the new terminal in Lima will bring total capacities up to 40 million passengers end of next year. As for both investments, the construction time was less than three years, including for the operational tests, a remarkable testimony of our international airport capabilities and our teams aboard. Remarkable is also the progress in Porto Alegre. I'm on Slide 10. Following more than 170 days of closure, we reopened Porto Alegre Airport for operations two weeks ago. Initially, we started operations for domestic flights with a 50% shortened runway, but which can accommodate the regular aircraft types being used. The current capacity allows for up to 128 daily flights, which is about 60% of the pre-flight number. Simultaneously, we are reconstructing the remainder of the runway and other airport infrastructure. The works are expected to be completed with the airport being fully operational in December. Contractional, you will have seen that the Anak has agreed to compensate for the reconstruction of the airport and the operational costs due in the airport closure. Moreover, we are utilizing our insurance coverage. Those compensations, they want from Anak and the one from the insurance company will cover the cost for the reconstruction of the airport infrastructure and the operational cost during the airport closure. Similar with the President set during COVID, we are expecting a further rebalancing of the economic shortfall due to the lost traffic and earnings caused by the flooding as a force of major event. Talking about the developments in our international portfolio in general, I'm on Slide number 11. Over the past few years, we have taken clear steps to streamline our international portfolio. As a result, we reduced a number of smaller investments in our portfolio and took out complexity, maybe it starting with our 30% shareholding in Hanover Airport in 2018 and followed by the divestment of our participation in Xi'an Airport in China in 2022 and the agreement signed for Daley Airport this year. Regarding our remaining 25% shareholding in Russia, St. Peter's book, you will have seen that we have in the meantime, we received a governmental approval to divest our stake. The presidential decree marks an important step ahead. Successful transaction, however, still depends on further conditions and approvals about which confidentiality has been agreed. Therefore, I cannot provide you further information about St. Petersburg at this point in time, but we are seeing good progress. As agreed upon investment with our management capabilities and the waste incremental funds, we have focused our acquisitions [Technical Difficulty] on either extension of existing concessions of both on acquisitions, so adding to already strong market and investments. Consequently, we were successfully awarded the new Antalya Airport concession 2021 and we just recently showed interest in the upcoming concession to develop and manage Kalamata Airport in Greece. Kalamata Airport is a rather small airport with about 300,000 to 400,000 passengers handled, but with a very good traffic momentum. Given the strong trend for holidays in the Mediterranean, in general, we're also seeing a clear push to upgrade hotel capacities and golf courses in the Kalamata region. So, the Peloponnese in general seems to be the next hot issue, hot potato of Greece in a positive sense of the next tourism and hotspot of Greece. Talking about financials, we are currently just looking for a minority share of less than 50%. Hence, we are sticking to our previous communication that we won't add bigger investments to our portfolio, while our leverage continues to be above 5x net debt to EBITDA. Also, yes, we are awarding of Kalamata Airport is still under the way and we ask for your understanding that we cannot provide you further information at this time. But as mentioned, it's not a big investment. Moving on to my last slide of today's presentation, our outlook on Slide 12. Following the completion of the first nine months of fiscal year 2024, we left the guidance unchanged and stick to our financial projections and Frankfurt traffic expectations. Reflecting the year-to-date performances, we also stick to specified ranges. As a result of the strikes and persisting airline capacity constraints, especially the issues I mentioned on the long term work challenges, but also the German economically the weakness of the German general economic situation, we therefore continue to expect to be in the lower half of our traffic guidance for Frankfurt Airport passengers. Thanks to the good momentum outside in Frankfurt here, in particular Frankfurt fleet, but also in Lima Airport, we remain confident to reach about the midpoint of our full-year financial expectations for group EBITDA and group results. Consequently, we expect our net debt to EBITDA, key leverage ratio to stay at about the same level compared to the prior year. Having that said, I would like to thank you for your attention and now Matthias with more financials.
Matthias Zieschang: Yes. Thank you, Stefan, and warm welcome also from my side. My first slide today focuses on our cash flow and indebtedness situation at the end of the first nine months of fiscal year 2024. I'm on Slide 40 now. The operating cash flow overall developed in line with our expectations. The positive traffic and financial results performances led to an increase in operating cash flow of about 22% to a level of €896 million. The operating cash flow also would have been clearly sufficient to accommodate a positive free cash flow of more than €500 million excluding for the expansion CapEx in Frankfurt and at Lima Airport. Including for the expansion activities in Frankfurt and Lima, our free cash flow was nonetheless negative at minus €318 million. As Stefan already mentioned, we are seeing good progress on our construction sites. As a consequence of the already recorded cash outflows and the projections for the Q4, we now expect that our brick and mortar CapEx figure in fiscal year 2024 may also exceed the level of around €1.5 billion. On the other side, we are seeing good cash inflows from dividends from associated companies, which support our free cash flow and correspondingly help our net debt development. Our group net debt figure, therefore stood at more than €8 billion at the end of the first nine months. Thanks to a positive Q3 free cash flow, which I will show you on my next slide. This figure is a slight improvement compared to the value at the end of the 1st six months of the current year. On my next slide, Slide 15, you can see the free cash flow development in the Q3 on a standalone basis. The operating cash flow in Q3 stood at a high level of close to €540 million reflecting the high season quarter in Frankfurt and our international activities. The investment volume, excluding for the expansion of Lima and Frankfurt, stood at a moderate group wide level of €118 million, which was in line with our expectations. Fixed concession payments, capitalized borrowing cost and lease payments, amounted to accumulated cash outflow of €50 million in Q3. On the other side, dividends from associated companies mainly derived from Antalya had a positive effect of €57 million on the free cash flow developed in the third quarter. Excluding for the expansion CapEx, the free cash flow, therefore, stood at a very positive level of €426 million in Q3. Reflecting the investment into Terminal 3 and the new Lima terminal of €291 million led to a reported Q3 free cash flow of plus €135 million, a very good outcome, which led to the before mentioned deleverage in Q3. Moving on to our repayment profile on Slide 16. Despite the negative nine months free cash flow, our liquidity position remained at a high level of more than 3.9 billion or €4.7 billion including for unused project finance and committed credit lines. Gross debt, on the other side, was slightly down compared to year from more than €12.1 billion to less than €12 billion which also reflects minor repayments. At 3.2%, the average cost of debt remained unchanged to the second quarter, despite the continued drawdowns of the Lima project finance. Looking ahead, there is residual repayments of some €100 million this year we expect to refinance at the Frankfurt side. Coming now to our segment reporting, starting with Aviation on Slide 17. Despite handling only 1.8% additional passengers, aviation charges grew by around 12% compared to Q3 of the previous year. The reason for the double-digit increase were the higher airport fees of 9.5% from January 1st onwards. Regarding the development of airport charges next year, so 2025, the FEED process with the regulator is still ongoing. Simultaneously, we continue discussions on a multi-year agreement with the ELX. Whether these discussions will have a positive result cannot be set today. The discussions, however, have been progressing well recently. We will inform you once we will have a final result. Taking a look now at the cost performance of the segment in the period under review. The aviation segment recorded higher staff costs, among others, from the second phase of the public sector wage agreement. Despite the increase in staff costs, the segment showed a solid EBITDA increase in Q3. At €130 million EBITDA exceeded the previous year by around €9 million and was about €27 million higher compared to the pre-COVID level. Moving on to our Retail and Real Estate segment on Slide 18. Revenues in the segment grew by about $10 million compared to the previous year and likewise compared to Q3 2019. All business units, so retail will stay as well as parking contributed to the solid increase in segment revenues. At €3.02 retail revenues per passenger also performed well despite continued closures on the land side in Terminal 1B due to the reallocation of the security checks. Key drivers for the positive retail momentum were solid advertising revenues, which were among others, supported by the European Soccer Championship in June and July, an improved passenger mix, thanks to the China reopening and increased dwell time due to smooth security processes. Parking and real estate revenues also grew nicely, among others, due to price effects. Regarding the segment EBITDA, we still recorded headwinds from elevated cost for maintenance services. Due to the increase in wages and ongoing projects, such as a refurbishment of the parking houses, costs for maintenance services were more sticky than initially anticipated. Therefore, our segment EBITDA only grew slightly to over €100 million. As a consequence of the weak traffic momentum, so that we expect to be in the lower half of this year's Frankfurt traffic outlook, we also marginally lowered our segment outlook. While we still expect EBITDA to grow compared to the previous year, we now expect that the EBITDA will remain below the level of €400 million on a full-year basis. Moving on to our Ground Handling segment on Slide #20. Despite increasing OpEx from a higher staff amount and collective bargaining effect in ground services. The segment recorded a positive EBITDA in the third quarter. At €206 million, revenues were sufficient to cover the main OpEx drivers from rising staff and temporary staff cost. At €9 million in the third quarter, EBITDA is now standing at minus €15 million on a year-to-date basis. Given the weak financial performance year-to-date in light of the weak traffic momentum, EBITDA breakeven has, in the meantime, become out of sight on a full-year basis. While we still expect an improvement compared to the previous year, we now forecast a negative EBITDA on a full-year basis. As a result, we will need to work on further productivity gains and have to reduce the number of external staff. We will keep you informed about the progress in our Ground Handling division, latest with our full-year results next year. Our final segment, International Activities and Services, is performing clearly better. I'm now on Slide 21. The International segment showed again a strong underlying earnings momentum. Despite the closure of the main airport in Porto Alegre, revenues excluding for IFRIC 12 grew by more than 13% to €511 million. The key drivers for the revenue increase were our investments in Fraport Greece, Fraport USA and Lima Airport. At the EBITDA level, a flat result is indeed a very good result bearing the following effects in mind. First in the previous year, Fraport USA recorded a compensation for the early termination of the Pittsburgh Master Lease concession in the amount of roughly €11 million. Second, moreover, Fraport Greece was positively impacted by COVID compensations in the amount of about €8 million. And third, the closure of Porto Alegre led this year to a temporary headwind of roughly €14 million EBITDA compared to the previous year. Hence, the existing portfolio compensated a cumulative EBITDA headwind of more than €30 million in the third quarter which is a very good result. Looking ahead, we are confident that the International segment will clearly grow its EBITDA in the entire year despite the continued headwind from the ramp up of Porto Alegre Airport. Ladies and gentlemen, let me summarize our performance, which we published today. Frankfurt and our international airports showed a good earnings momentum in the third quarter on a year-to-date basis. At the Frankfurt side, this is in particular true for the aviation segment. Over and beyond, the traffic performance, the segment is helped by price effects. In the International division, the continued traffic recovery and price effects were the backbone of the good financial result. Our major CapEx programs are on the final stretch. We provided you more insight on the Frankfurt time line as well as for Lima and Antalya. The airport in Porto Alegre is reopened, and the economic rebalances are underway. Equally, we are on our way to streamline our international portfolio, reducing the number of equity participations and focusing on investments with a proven track record. Having said this, ladies and gentlemen, I'd like to thank you for your attention, and we can start the Q&A session now.
Operator: Ladies and gentlemen, at this time we will begin the question-and-answer session. [Operator Instructions]. And the first question comes from Carlos Caburrasi from Kepler Cheuvreux. Please go ahead. Mr. Caburrasi, your line is open.
Carlos Caburrasi: Can you hear me?
Operator: Yes, we can hear you now. Thank you.
Carlos Caburrasi: Okay, sorry. So, yes, hello everyone. Thank you for the presentation and for taking my questions. I have three. The first one, I was wondering is there anything new to the between 5% and 9.5% increase in tariffs or you cannot provide full visibility yet? And additionally to this one, what is your current expectation in terms of traffic for 2025? The second question and with regards to the reduction of minorities of international portfolio, how much money are you willing to devote to this strategy and when could it happen? I assume that the main goal is to increase Greece and Lima's stake, but could we also see an investment in any of the underperforming assets as well? And my last question is on the cost side. This came above expectations in the quarter. And I was wondering if you could walk us through the moving parts and your expectations in Q4 and in 2025? Thank you.
Stefan Schulte: Probably, I'll start with your first question. That was regarding charges we gave you earlier this year an indication that it would be above 5%, but less than 9% or 9.5% or less the number of last year. And that indication is still true. It's somewhere on this range, for sure, not on the upper end, but we have to see where we are coming out. So we are in discussions and because we are in discussions there, I don't want to give any further details today. As mentioned by Matthias, there are two streams on the one side with the governmental bodies, so this [indiscernible] on the other side, that's on a yearly basis and on the other side, with airlines directly on a four years base. And I can just tell you the discussions are going the right way. I'm quite optimistic that we can give you an update over the next four to five weeks, something like this. Regarding traffic, I mentioned already the challenges, it's a mixture. It's a mixture on the one side of the sharp increase of aviation tax on navigation tariffs by more than 100% on security business charges. So, in total, it was up of more than 50% or 60%, something like this. But that's only the one thing. The other thing is, of course, also on the side of our main customer, Lufthansa, who is waiting for new aircrafts, more efficient aircrafts on the Intercontinental side, but we also have the issue I mentioned is the 3% of the A320 fleet grounded because of the Pratt & Whitney issue next year. So we're expecting growth for next year, but it will be a smaller growth number. More details, I can't give you today. It's also depending somewhere a little bit how Germany is developing because what you see more and more is that German companies are putting their business traffic really on under pressure, saving costs with high budget restrictions and so on. But I'm still positive that we will see growth. The question is what level of growth there will not be a big growth for next year. On International activities, if I got your question correct, what is the CapEx we put or we expect for the next years. I think if this is a question, correct.
Carlos Caburrasi: No, no, no. I was wondering about the I mean, going to Slide 11 in the international portfolio optimization, it says reduce minorities and focus on key markets. So I was wondering to reduce minorities, how much are you willing to pay basically for the minorities?
Stefan Schulte: To pay for minorities, no, we are reducing minorities the way that we are selling, as you know, Delhi [ph] airport. We are in the process where contracts are signed. And the second thing is on St. Petersburg. We are also expecting proceeds out of the sale, but there we are waiting for approvals and conditions. And after, we'll give you more details on that. And the only thing where we are going in and where we put an offer on the table together in a consortium, we have a minority of less than 50%, but above 25%, somewhere in that range. So closer to the 50% and we are the strategic investor that on Kalamata Airport. But that's the only thing, it's not a big amount, but it's we have to wait first because it's not official whether we are winning or not, whether at what time it's going ahead, but it will be a double-digit, not on the upper side, million amount, more on the lower side, some were mid-sized, up to lower side, something like this. We have to wait for what the final outcome of that auction is. Then, yes, last question was the cost development. When you look in the P&L, there is a significant cost increase. The driver for this are the high wages or the higher wages based on the contracts. And we have in general, we have the wage contract based on that. This is a wage contract for all civil servants in Germany in which we are part of this. This was a contract beginning in January last year and ending in December this year, a very complex contract with base effects, with percentage increases and also with one-offs during these 24 months period. And this makes it very complex to make a calculation also when you compare quarter-by-quarter. But this is the main driver for the personnel cost escalation. And in total, we have in this year a cost increase of between 9% and 10%, driven by this very expensive [indiscernible] agreement. And then we have second, the so called collective wage agreement in the ground handling business, which is valid for all ground handling companies in Germany with the same effect, about 10% wage increase. So this makes it so cost intensive this year but with a clear expectation than next year, it's not becoming much cheaper. But let me say that the new increase is not any longer, 9% to 10%. We expect, let me say, clear reduction in the future compared to this what we experienced in '25 -- '24/'23. That's the reason for the cost escalation. On the material expense side, the inflation, I wouldn't say it's over, but has normalized and we don't see any longer significant price impacts on the material expense side.
Carlos Caburrasi: Okay, understood. Thank you, Stefan. Thank you, Matthias.
Operator: And the next question comes from Elodie from JPMorgan. Please go ahead.
Elodie Rall: Hi, thanks for taking my question. My first question is on CapEx. So you said for '24, you expect CapEx to exceed €1.5 billion. Could you remind us the split there and the outlook for 2025 on CapEx?
Matthias Zieschang: Yes. Regarding CapEx, I think we have a nice slide in our appendix. When you go on slide number just a minute, I have to look on '29, you see what we already guided in the beginning of the year. Now the change you see on the left hand side on this chart, the CapEx expenses in our portfolio, you can see the difference compared to the beginning of the year is just T3, where we now with full steam are constructing the terminal. Stefan has told you that everything is in line. We are on the time schedule. We are going to finalize the construction in middle Q3 next year and then to take the rest of the time to test and then train each and everything. And the high expense for this T3 terminal is expression of the high speed of the construction. And here, we had already in Q3 $500 million expenses. So that with other words, $600 million which we guided in the beginning will not any longer happen. So as of today, and you see it in the chart, we expect about €700 million. Again, this is an expression of the good progress in this project. The rest is absolutely in line with this, what we guided in the beginning of the year, but with the overall impact that we now will exceed the $1.5 billion. Looking forward, we are now in the final phase of our financial plan for '25. And we already said there will be a significant reduction regarding CapEx. Again, this is not a guidance for next year. But as of today, I can tell you that we are working on a number which is below 1.1 billion as a as a group CapEx for $25 million and this is what we already signaled to you in the last 24 months.
Elodie Rall: Thank you. My second question is on traffic. So you said you expect small traffic increase in '25, because aircraft capacity issue at Lufthansa and Germany aviation tax, when do you now think that you'll go back to 2019 level?
Matthias Zieschang: Good question, but let's wait first for March next year, where we will provide you the full-year number of 2024, and we will give you the official guidance then for the year 2025. And then we will see at what time we will be on full coverage and we can see 2019 numbers. To be quite honest, I would like to see what is going on, on Boeing at what time are the 777 coming in, what's going on with the 787, do we get further A350 maybe over the next years? And that's one of the main topics besides the other topics I mentioned to see at what time we are reaching 2019 numbers here in Frankfurt.
Elodie Rall: Okay. Thank you. And I had another question on Porto Alegre. So you said the economic rebalance is underway. The main thing to be compensated if I'm not wrong is still the CapEx, which I think you said was around in €100 million. Can you help us understanding the cash inflows and outflows this year and next year related to Porto Alegre?
Matthias Zieschang: The cash outflow on the infrastructure on the CapEx will be mainly now on the fourth quarter. Some is already cash outflow in the third quarter, but then on the fourth quarter reaching up to first quarter next year. I would expect the inflow should be relatively simultaneously, but probably not exactly because the invoices have to be checked by Anak and it's a question now for how quick they are paying it to us. So, there could be a difference of six or four weeks, but something not material not big ones. And we've got already some money from Anak and we've got some money from the insurance companies. So it should be somewhere in line in fourth quarter, first quarter next year, something like this.
Elodie Rall: Thank you. And maybe just one last question on dividend expectation. So I presume you're still expecting free cash flow to be positive in 2025. Does that mean we could expect a dividend payable on '25 earnings for '26?
Matthias Zieschang: I think as we mentioned, we first have to be clearly free cash flow positive. So, in '25, we are fighting and we are optimistic to achieve free cash flow breakeven, but it's just breakeven, around breakeven. And that means, if we were to around breakeven. And that means, if we would pay a dividend then on a breakeven level, we would pay it out of debt. So from today's point of view, I can't promise it to you.
Elodie Rall: Okay. Thanks very much.
Operator: And the next question comes from Cristian Nedelcu from UBS. Please go ahead.
Cristian Nedelcu: Excellent. Thank you very much. Could I ask you a short ton that the higher CapEx in Terminal 3, the 700 million is that pulling forward some of the CapEx from next year or in other words that the total cost for T3 is still somewhere in the range of €4 billion, €4.2 billion? The second question on the discussions on a multi-year agreement, I understand you cannot comment more, but just culturally could you talk a bit what is the appeal of a multi-year tariff agreement for you. Would you be willing to compromise on a lower tariff in exchange for that visibility of three, four years of tariff going forward? And also in the context of this agreement, how easy to agree on capacity over the next few years, sort of, seat capacity in Frankfort, if you can make some general comments there. And the third one is, if you allow me, we've seen a strong performance in advertising retail in Frankfurt in Q3. Will this go away or this one off benefits from the Soccer World Cup and so on? And then as we move into 2025, could you tell us which are the tailwinds to growth in retail spend per passenger in Frankfurt, which are the factors that support further growth from the current levels? Thank you.
Stefan Schulte: I'll start with the first question on Terminal 3 on CapEx. Matthias mentioned already the amount while we are a little bit higher this year. What is the reason behind? There are three reasons. The one is, yes, the construction site is running quite well. And if you see such a construction site with, for example, just to give you one point, we have to connect now more than 8,000 doors, which have to automatically open up, close down and so on depending whatever the operation is. So there's a lot of testing, which is going in these days. And because the construction site is running quite well, the amount of CapEx this year will be somewhere higher. And we push this also on a reasonable base, because you never know how at the end construction approval is fire test -- fire protection test and so on are running. So you need some buffer if possible that we get to the Terminal 3 then on time into operation. We don't want to delay Terminal 3, that's absolutely clear because whatever you would delay to build a little bit slower would mean extra costs on an extra put on a very high level. So it's a mixture to create a buffer. On the one side, it's a point that the construction side is running quite well. But it's also, as I mentioned, I think a year ago, that there is a contingency of €100 million to €200 million, you mentioned this already in the level of €4 billion to €4.2 billion. It can be that up to the end, we have to use this contingency, but it's not more, it's in that range. And it's just a question how it's now spreading 2024, '25 and what the allocation there. On a multi-year contract, as mentioned, we're in discussions on both sides. A multi-year contract is, of course, giving stability. Yes, you are also discussing somewhere then traffic ranges, which is not easy these days. It's absolutely right. But you would, of course, also then discuss the question what is the increase over the next years on that side. But it gives stability also for you, but also for us to concentrate then on the question, how the development for the next year is and what does that mean for the cost development for the CapEx and so on, and how do we have to manage the company to keep it on a well base? Do we have to go for a multi-year contract? No, we don't have to. But if there would be a reasonable outcome or more than a reasonable outcome, then I would prefer multi-year contract, but it depends. As mentioned, we are on a good progress in total on that discussions whether the one side, the one year, but also the multi-year. And I think in the next four, five weeks, we can give you an update on that side. Yes, regarding your question retail performance. As we mentioned, we are showing good results in Q3. We are satisfied with the numbers. Just remember on Slide 19, you can see that regarding shopping and services, we are compared to last year third quarter, we are on the same level. We are clearly better than 2019. And here you have to have in mind that due to construction activities, the retail space is 9% less compared to 2019. The 9% is allocated of minus 18% on the land side and minus 2% on the air side. So again, this is temporarily, but you have to see that we are improving despite a significant reduced area of retail space. So this is we have to see it from a qualitative perspective. This underlines our good momentum. If you look on advertising, we are so far happy that we are, first of all, we are significantly better than last year number. So last year, we had $0.45 per passenger. Now we ended up 58%. It's even $0.01 higher than 2019. You mentioned one reason, this is of course the impact from the Soccer Championship in Germany. This is a push forward, this is clear, but we have the momentum, you see also strong performance in food and beverage. We are now going to open the food court in Terminal 1, Concourse B. One part now is already open. The other part will be opened in December. This will give us another push. So, the combination of the momentum in advertising as well as additional F&B space gives confidence that we can continue with the good numbers also in Q4.
Cristian Nedelcu: Thank you very much.
Operator: And the next question comes from Ruxandra Haradau-Doser from HSBC. Please go ahead.
Ruxandra Haradau-Doser: Yes, hello. Thank you very much for taking my questions. First, you mentioned the announcement of conduct to date to operate more fourth haul flight to Frankfurt next summer. If Lufthansa was allowed to cancel the preferential feeder agreement with Condor, would you expect Condor to try to build up its own feeder network to Frankfurt next year? And which terminal will Condor operate once Terminal 3 opens? Second, could you please remind us about PFG, which airlines will operate at this terminal once it opens? And third, I remember you mentioned in the past that you tried to hurry up to finalize the terminals in Lima this year such that tariffs can be increased as of January. Since the commissioning of Lima has been postponed, how should we think about tariffs in Lima next year? Thank you very much.
Stefan Schulte: Thanks very much for your questions. The first question you have to ask Condor, not us. I'm sorry for that. Where Condor will be positioned, we have to see that on the short haul flights, a very new message from today or from yesterday and we have to run it through now, we have to see whether they get the slots and at what time the slots are in detail and then we will go through this. Regarding Terminal 3, from today's point of view, Terminal 3, the Terminal 2 airlines will move to Terminal 3. You know that Condor is in Terminal 1, is in Pier B area. So, they are not on focus these days. Pier J is an integrated part of Terminal 3 with Schengen and Non Sheng, and we will go through the next 12 months through more detailed allocation of the different Schengen and Non-Sheng facilities in Terminal 3 and we'll then see which airline at what time exactly has to be on what pier in Terminal 3. Regarding Lima, the discussions are ongoing. That's too early because the discussions with the government are running these days. What is the reason for one month later? It's in between, of course, the concession. We are on time there with the opening of what the consequences are for the charges we have to see because Lima Airport is tested in discussions with.
Ruxandra Haradau-Doser: Thank you.
Stefan Schulte: Thanks.
Operator: And the next question comes from Andrew Lobbenberg from Barclays. Please go ahead.
Andrew Lobbenberg: Oh, hi there. I don't know what you'll be able to answer, but when you talk about a multi-year charges agreement, how long is it in play? Yes, just how far out are you looking? And separately, as you discussed the potential multi-year charges structure, are you also talking with Lufthansa about the 2026 change for the handling contract? Are there any talks on a sort of multi-year handling deal with Lufty as well? And then just coming back to the aviation tax, I wonder if you could give some color to those of us outside of Germany. I understand there's a lot of pressure and you're starting to get some attention. But yes, I mean, just how optimistic are you that there can be some rollback of the aviation taxes? Obviously, we saw Sweden roll back their aviation taxes, but elsewhere they're increasing, aren't they? So there are very varied trends around Europe.
Stefan Schulte: Thanks for your questions. On the multi-duration hub – no – or contract, we'll give you more details as soon as it's more concrete and more clear whether we go this way. But it's – here it's more than one year and you can be sure it's less than five years, something in that range. The handling contract is for sure not included there because that's a separate business and I think we're also very well done that we are not mixing up issues there. On the aviation tax, I'm more optimistic if we would have elections next week on the federal state base. So having said this, with the actual government, with the coalition, I would not expect in this period that we come to a big throughput. The most important thing is that we get the different parties behind our points, that they understand our issues because it has to go into their programs for next government. And that's the most important thing. And then we have to see at what time we can get through what. But as mentioned, the federal government is getting more and more aware of these points. So I hope it's after next election or whenever next election is. I will not speculate on this. The chances are bigger.
Andrew Lobbenberg: Interesting, thank you.
Operator: And the next question comes from Harishankar Ramamoorthy from Deutsche Bank. Please go ahead.
Harishankar Ramamoorthy: Hi, thank you. Just a couple from my side. Maybe you could help us understand the cost progressions for the rest of the year. Should we see more headcount growth of wage inflation maybe into next year? I get that wage inflation is probably not going to be as high as it was this year, but any color around the ramp up in headcount, if you're indeed going to see much traffic come through on the back of some multi-year negotiations. How should we think about the staff additions? And maybe a second one on the ground handling business where -- would it be fair to say that given Q4 is not exactly the best quarter, may be the EBITDA losses for the full year would be worse than what you've seen in [indiscernible]? Thank you.
Stefan Schulte: Yes, inflation. Two things, as I already told you, regarding price inflation on the material side, we think we are more or less back on the old times. So the big increases are over now. So this is broken. So we expect 2% to 3% price increases on the material side. On the wage side, as I mentioned, we had in 2023 as well as in 2024, we had significant increases, close to 10% in both years. This was a heavy burden for all of us. Looking forward, we are convinced it will be lower, but higher than the official inflation rate, depending of course of the outcome of the negotiations, which are not in our hand. But I would say as a best guess, perhaps looking forward in 2025, a wage increase of about 5%. But again, this is a very rough indication. Nobody knows because we are not doing these negotiations, but this is significantly lower than just what we had, but higher than the official CPI rate. And ground handling, as you mentioned, yes, we had better positive EBITDA contribution in Q3, spoiled by a high number of employees, especially the service providers. We are now going to bring it down. And in the last two months, the external workforce has been already reduced and we are making pressure to go on with the reduction of these staff. So this will show some impact because the cost of external staff is clearly higher than this of internal ones. So it makes sense to reduce the external workers. And this will help us. And we have to see now what is a headwind or not, or a tailwind in Q4, whether we are breakeven in Q4. This will be -- we are fighting for the breakeven. But regarding the total year, because now we have accumulated still a loss, a breakeven in ground handling for the full year is impossible now. But we are looking forward and we are working hard to increase productivity significantly and you will see a positive impact in the future.
Harishankar Ramamoorthy: Understood. Maybe I can just come back on the first question. So if I rephrase it, how should we think about the labor force or the number of people you might need at your Frankfurt base if traffic battle say increase 5% next year? So would that be a ramp up in the personnel deployed to an equal extent? Or do you see potential for savings there, efficiencies there? How should we think about staff growth in terms of the number of employees relative to traffic growth?
Stefan Schulte: To be quite honest, this question is these days very difficult to answer. And it's not the normal ratio, which would mean that on aviation in a fixed business, if you have a small growth, you don't need additional people. The reason is there are two special effects for next year. The first special effect is that the second license on ground handling was awarded to a new company, which is not active on Frankfurt Airport these days. And there's a big fight between the actual company, who is handling the second license, and the new one. And it's unclear at the moment whether they are able to perform their market share. And what does that mean? So we are well prepared not to bring the external workers as Matthias mentioned, which is really our target, but which we are well performed. We shouldn't bring them too quick down because there could be some critical situations by beginning of February. And the second point is we have to have some additional people in maintenance on IT because of Terminal 3 is now coming closer to operation and you need some people for this because it's, of course, a big amount of square meters, which are going in addition. But we are -- I can promise you, we are really handling this on a very, very restrictive level to keep the cost as much as possible under control and I'm not adding a lot of people to this, but you have to add some people, of course.
Harishankar Ramamoorthy: Yeah, understood. Thanks.
Operator: And the next question comes from Graham Hunt from Jefferies. Please go ahead.
Graham Hunt: Yes, thank you. Just two questions from me, please. First question, can you help me understand why you felt now was the right time to sell your stake and Delhi? Just wanted to understand the rationale behind that sale, particularly in timing. And should we take it as a signal that you're not looking to participate at any point really in the upcoming -- or any upcoming airport auctions or investments in India going forward? And then second question, just on your income from associates cash flow, obviously upgraded that expectation for this year on Antalya contributing. What's changed there from prior guidance of being neutral? Or is it that there's a cash outflow phased for later on into 2025 that we should be thinking about? Thank you.
Stefan Schulte: Just on your first question, Delhi, we are in Delhi for more than 15 years now. At the beginning, it was a very clear strategic investment with a lot of common development on the hub of Delhi with a new runway at that time, with a new terminal at that time. The more the time goes ahead it was more and more financial investment. And we are in discussion already for some years to divest. And you need always two parties, the one who is buying, the one who is selling. And that's the reason that we are now going out. And the contracts are signed. So I would expect that the closing of this deal and then the financial proceeds should come in probably next year. It's nothing against India. We are in the long run for sure interested in that market. Even as these days and these years, the focus is on free cash flow positive, net debt reduction, and we're not going for big tickets abroad. But in the long run, yes, it's for sure also an attractive market.
Matthias Zieschang: Yes, your question regarding proceeds from dividends, so it's relatively simple. When you look on Slide 14 on the cash flow chart, you can see that you already in the first three quarters received dividends in an amount of €65 million. And looking forward now, what will happen in Q4 is about another €35 million, what could and will come. So with other words, as a rough guess, you always can calculate with about €100 million dividends per annum as proceeds from dividends from other equity companies. I hope I have covered your question.
Graham Hunt: Maybe, if I could just, the question was more on the change of guidance. Before it was neutral, now it's positive. So was that performance surprisingly positive?
Stefan Schulte: Do you mean the total cash flow performance next year or what?
Matthias Zieschang: It's a little bit higher.
Stefan Schulte: It's a little bit higher this year. Yes, this you mean?
Graham Hunt: Yes, the move from neutral to…
Stefan Schulte: The dividends are a little bit better performance, a little bit higher, and we managed very much the interest on that side. And so the data on those is a little bit higher, positive than expected, I think.
Graham Hunt: Understood.
Stefan Schulte: So maybe we can take up this question more in detail with our IR department in the next days and put the numbers together.
Graham Hunt: Thank you. Thanks, that's great. Thank you.
Operator: And the next question comes from Dario Maglione from BNP Paribas Exane. Please go ahead.
Dario Maglione: Hi, just one question for me. You mentioned that you still expect free cash flow breakeven next year. Can you maybe discuss the building blocks there? Thank you.
Matthias Zieschang: It's very simple. The main drivers are the EBITDA. So the operational cash inflow on one side and the CapEx on the other side. All the other parameters are relatively sticky. So interest expenses, taxes, et cetera. And the main driver to go in direction of cash flow, free cash flow breakeven is CapEx reduction. And here we already set a clear target in our plans in 2025 to have a total CapEx on group level below €1.1 billion and we are confident to achieve this. This is a main driver in the direction of free cash flow neutrality.
Dario Maglione: And if I can follow up, Matthias, what traffic assumption do you have for Frankfurt Airport to underline that guidance?
Matthias Zieschang: Yeah, this is open what Stefan Schulte said. So we have to see, of course, we expect some growth next year, but it's modest. And this depends from fleet policy and fleet capacity of our main customers, Lufthansa, depending from what are, let me say, what types of aircraft they're offering, delivery of Dreamliners, yes or no, reallocation of the A350, so today it's absolutely too early to give you a clear indication what will happen the next year.
Dario Maglione: Yes, thank you.
Operator: And the next question comes from Marcin Wojtal from Bank of America. Please go ahead.
Marcin Wojtal: Yes, thank you so much. A couple of questions. Firstly, on Greece, how do you feel about traffic outlook there for 2025? Do you expect Greece to keep outperforming and perhaps growing at a mid-single digit rate? And then on Terminal 2, would you please remind us when do you plan to shut it down for maintenance? And what will be the total budget of that refurbishment project for Terminal 2? And over how many years you are going to implement it? Perhaps considering that the relatively slow growth in Frankfurt is there perhaps any change to your plans for Terminal 2? Thank you.
Stefan Schulte: On Greece 2025, sorry, but first we are very glad and happy that we have seen a very good season in the year 2024. We will go through those discussions together with our experts also in Greece, together with officials in Greece, the tourist sector and so on, but everybody is still on the season 2024 and not on the season 2025. So I can tell you, yes, we are expecting further growth, but it would be too early for a signal on which level, on which size we expect in that those numbers. We'll give you in the beginning of next year. Regarding Terminal 2, the message is the same as we mentioned already. We'll close it down over the year of 2026, so later from 2027 onwards because the airlines will move in the year 2026 from Terminal 2 to Terminal 3. Nowadays we take our time to really plan it, to make all the detailed plannings. This will take some time, for sure more than 12 months, because we will not start with construction, that's a lot of detailed techniques before we have really a very, very clear planning and a very stable planning on that. And then we have to go for approval processes and so on. So for us, it's not so much at the moment the point of whether we start exactly at the beginning of 2007 with the reconstruction there or with the re-engineering there, it's much more the point that we first have a very, very stable planning. The numbers are unchanged because we first have to go through the planning process on detail. I think we gave you already a number. It will be something around 1 billion or whatever, but that's too early at the moment because we have to go through the detailed planning process and it will be a long-term project. It will not be just on three, four, five years.
Marcin Wojtal: Yes, thank you very much.
Operator: And the next question comes from José Arroyas from Santander. Please go ahead.
José Arroyas: Yes, thank you, three very quick ones. And the first one is a clarification on your statement this morning in the press release. I think you mentioned there that over the winter season, you expect to see minimal traffic growth, whereas two weeks ago, Fraport announced there would be a 4% or there has been a 4% increase in the seats offered by airlines. And considering that last year in Q1 2023, we have an easy comp I'm a bit surprised that you make this comment that traffic growth over the winter season is now minimal. What has changed over the past two weeks to make this or to change this statement? That's question number one. Question number two is, I want on the multi-tariff agreement in Frankfurt, I wanted to circle back on your answer. Did I understand correctly that you expect to close an agreement in five weeks and that we should expect an announcement like we should expect a new tariff for 2025? Is that what you wanted to say earlier? And lastly, I wanted to hear an update on your views on China. Where do we stand on the traffic recovery and where do we think we go from here? Thank you very much.
Stefan Schulte: Thanks for your questions. Regarding what is the reason for the change on the traffic also winter, that's very simple. These are the plans on the airlines, what slots they are taking and where they are reducing their plans because of shortages of aircrafts on Pratt & Whitney issues and so on. And that's the reason we are more at the moment on the 3% than on the 4% because the slot coordination is going ahead. That's the point behind. And so that's the best guess we have from today's point of view. On the multi-traffic agreement, or let's say in general on the charges, what I wanted to say is that in the next four or five weeks, I'm quite optimistic that we can give you news whether it's on a multi-year agreement or whether it's on a one-year agreement, whatever. The one or the other way, I'm quite optimistic due to the discussions we have that we will give you an update on that side. But I'm not saying at the moment it's this way or it's that way, that's not possible. On China, traffic recovery is quite fine. I don't know whether you have numbers on that side.
Matthias Zieschang: 70% to 80% at the moment.
Stefan Schulte: Yes, 70% to 80%, yeah, that's quite fine. But it's, yeah.
José Arroyas: Thanks.
Operator: And the next question comes from -- you have a follow-up question from Christian Lesueur from UBS. Please go ahead.
Christian Lesueur: Well, thank you very much for allowing to follow-up. You mentioned earlier most of the tenders for Terminals 3 specialty and food and beverage are behind you. Could you tell us any first conclusions? Are the concession rates increasing meaningfully versus the past? Are there meaningful minimum annual guarantees or any more color that, general color that you could provide at this stage? And secondly, a short one. I think in the slides you flagged that the Frankfurt maintenance CapEx this year is around €350 million. So just to confirm, is this the steady state going forward and on top of this we should add something for the Terminal 2 modernization once that starts in a few years from now? Is this the way to think about it or any more color there? Thank you.
Stefan Schulte: On Terminal 3, what's going on there on retail, on duty-free, on food and beverage, I mentioned that a lot of contracts are behind us. They are just signed. On the other side, some contracts are still under negotiations. So I'm expecting that the contracts will be signed over the next weeks. So what I would propose there, that we give you somewhere next year whenever when we are through with all the concepts and so on. And it's not just the price. It's also the question of location and what expectations we have on revenues. That will give you an update there, but then in total on whatever we expect there on that side and how we see it regarding spent per passenger and so on. Regarding Terminal 2, I think we answered that question already, but Matthias?
Matthias Zieschang: Yes, regarding CapEx, you mentioned the maintenance number for Frankfurt and this is valid for the future. And we always said T2 is embedded in this budget and T2 will be constructed over a very long period. So the CapEx for T2 is allocated for a time span of perhaps up to nearly 10 years. So with other words, it's some mitigation of a number. Of course, let me say in [indiscernible] it will be a little bit higher, but it's not a significant impact in one year with regards to Terminal 2.
Christian Lesueur: Thank you very much.
Operator: Ladies and gentlemen, this was the last question. I would now like to turn the conference back over to Christoph Nanke for any closing remarks.
Christoph Nanke: So thank you everybody for attending, asking good questions. Please give us a call if you have any further questions. Also, we can discuss then the [indiscernible] dividend. Yes, I wish you a good rest of the day and a successful week. Thank you. Goodbye.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing chorus call and thank you for participating in the conference. You may now disconnect your lines. Goodbye.